Operator: Good morning, everyone. Welcome to Unifi's Fourth Quarter Conference Call. Leading today’s call is A.J. Eaker, Vice President Finance and Investor Relations. A.J?
A.J. Eaker: Thank you, operator, and good morning, everyone. On the call today is Kevin Haul, Chief Executive Officer; Tom Caudle, President; and Chris Smosna, Vice President, Treasurer and Interim Chief Financial Officer. During this call, management will be referencing a webcast presentation that can be found at unifi.com and by clicking to fourth quarter conference call link. Management advises you that certain statements included in today's call will be forward-looking statements within the meaning of the federal securities laws. Management cautions that these statements are based on current expectations, estimates and/or projections about the markets in which Unifi operates. These statements are not guarantees of future performance and involve certain risks that are difficult to predict. Actual outcomes and results may differ materially from what is expressed, forecast or implied by these statements. You are directed to the disclosures filed with the SEC on Unifi's Forms 10-Q and 10-K regarding various factors that may impact these results. Also, please be advised that certain non-GAAP financial measures, such as adjusted EBITDA, adjusted working capital, adjusted net income and adjusted EPS, will be discussed on this call, and non-GAAP reconciliations can be found in the schedules to the webcast presentation. I'll now turn the call over to Unifi's President Tom Caudle.
Tom Caudle: Thanks, A.J., and good morning. Thank you for joining us today. I will begin today's call with an operational overview. Our financial results reflect continued success and strong execution against our global initiatives to provide high quality, innovative and sustainable products to our customers around the world. These initiatives have not only enhanced our ability to serve our customers, but also provide us with valuable business diversification. During the quarter and throughout fiscal '17, excellent results from our international operations in both Asia and Brazil have helped offset persistent headwinds in the domestic markets. We are very proud of how well our teams have executed across the world. Volume and profit growth have remained strong in Asia, where our PVA business continues to grow in both filament yarn and staple fiber. Our global customers continue to benefit from a differentiation and innovation that our REPREVE and PVA products bring to their portfolio. Also we continue to gain additional traction across several of our new expansion opportunities in Sri Lanka and Vietnam as we work with key global brands and retail partners to develop and implement PVA programs that will drive value throughout the supply chain. Moving to Brazil, we are seeing similar success as our results reflect solid performance. While we continue to capitalize on the expansion of the synthetic fiber market and growing demand for PVA products despite a volatile economic and political operating environment. In summary, we remain very pleased with our international momentum and financial performance and view the international segment as an important component of our long-term growth. As for regional business, the difficult retail apparel environment that we saw throughout fiscal 2017 continues to pressure all parts of the supply chain. Brands and retailers remain cautious with orders as store closures and other business transformation continue to plague the industry. At the same time, consumers are demanding more personal experience in new omni-channel approaches from apparel companies with intense innovation and speed to market. The good news, the retailer industry is reacting through transformation and capital reinvestment which we hope will help the industry find its footing as we look forward in fiscal '18. When looking at the domestic markets, the headwinds that we faced in the fourth quarter were the same ones that we witnessed throughout most of the year. They include demand challenges for nylon and polyester, mostly attributable to the apparel and retail markets. Additionally, raw material pressures during the middle of the fiscal year add into the challenging domestic market conditions. In this landscape, our focus on product innovation and differentiation is even more critical than ever as we must provide increasing value to our customers. Kevin will talk in more detail about this in a few minutes. A few innovation bright spots include: in quarter four due to increased demand for our SORBTEK moisture management technology, we established a new polyester [stock] [ph] program with a significant global producer; continued adoption and market penetration of REPREVE chip and bottle flake sold from our recycling operations, aggressive expansion of REPREVE in Asia and European markets and continued pursuit on new technology and product advancements, including our new polyester cross-section currently being sampled with customers; expanding on our product and market development activities, we continue to produce specialized performance fibers under a partnership with Eastman Chemical Company. This is an extraordinary partnership with a leading chemical technology company that displays Unifi's prominent manufacturing capabilities and culture of innovation. From a financial perspective, we expect this project to provide a modest contribution to our top and bottom line growth, and further financial improvement may occur as volumes are expected to ramp up over time. Now I'll address how our recent investments are contributing to the business now. I'm happy to say that our new Bottle Processing Center is performing well. The quality of the output has been second to none and with the recent letter of no objection from the Food and Drug Administration, we are positioned for growth with yet another product line. This is another great example of how the Unifi culture is ingrained with innovation and sustainability. We expect that this product would generate a solid EBITDA payback in less than five years and has importantly it provides the backbone through our position as an innovative leader in sustainable fibers and solutions. Lastly, our fourth production line in the REPREVE recycling centre is projected to begin service in 2018, which should take our annual domestic recycling capacity well above the current 75 million pound as we head into fiscal '19 rounding out our recent injection of CapEx. We are excited to conclude this plan and look forward to leveraging these assets in combination with our superior technical know-how worldwide. With that, I'm also excited to introduce our new Chief Executive officer, Kevin Hall. Kevin joined Unifi in May, bringing many years of leadership, and commercial expertise with high-quality, high profile organizations such as Procter & Gamble, and Hanes Brands. As we continue to focus on branding and partnerships, while executing on a broad portfolio of differentiated products, Kevin's accolades translate well to Unifi. His experience spans multiple industries as he led marketing, commercial and branding efforts in multiple organizations throughout the country, engaging consumers, growing brands, and driving excellence across a spectrum of various products, teams, and companies. On behalf of the Board of Directors, the management team, and all of us at Unifi, Kevin we are proud to have you here.
Kevin Hall: Thank you, Tom, and good morning everyone. I’m thrilled to be here and I’m excited to help lead the next chapter at Unifi. My first two months here have been a strong confirmation as to why I chose to be part of this opportunity. I’m excited by Unifi's culture of sustainability and deep technical knowledge and when combined with the strong partnerships rooted in premium value-added solutions, there is great potential for this Company to grow into a much larger solutions provider for leading brands around the world. We believe we will accomplish this by first investing for growth, expanding our technology and innovation, investing in smart strategic partnerships, and investing in our people. Let me expand all of it further. First, investing for growth. I see significant opportunity for REPREVE and expanding our recycling and sustainability initiatives globally. We will build on our commitment to recycling and continue to build awareness of REPREVE as the premium recycled synthetic fiber brand that can be reborn into everyday premier products. This transformation of recycled bottles into performance fibers is not a simple task. It requires significant technology, knowledge and continued innovation. It also requires partnerships with like-minded brands that share our passion for recycling and sustainability. One such partnership includes one of the nation's most popular retailers, Target. This is a collaboration founded on our commitment to environmental responsibility, quality, and consistency. Our REPREVE earth friendly fibers are increasingly found throughout Target's in-store brands. Brands such as Captain Jack, offerings for all ages, including swimwear and blended T-shirts, all have cobranded tags and labels featuring REPREVE, as does, Ellery Homestyles curtains sold at Target. Over the last year, REPREVE was in millions of Target products. And as a result, hundreds of millions of recycled bottles have been saved from landfills and been reborn into premium performance products across their brands. This outstanding partnership has plenty of room for growth and we remain very excited to be working with Target, combining fashion and lifestyle with socially responsible earth friendly fibers. As move through the year, I look forward to highlighting more examples of partnerships with like-minded brands on recycling. Several of these are in development and my goal is to share at least one success story each quarter. These partnerships will need to be supported though by a continued stream of innovation and technology that offer consumer meaningful benefits. As a result, technology and innovation will be another pillar investment for Unifi. REPREVE is a significant innovation, but we also have a portfolio of branded PVA products that can help brands differentiate in the marketplace. Technology such as SORBTEK for moisture management and SORBTEK 365 offering enhanced wicking and thermal comfort. Both technologies are available for use across the apparel spectrum, and they will be key drivers of our success in fiscal 2018. Additional technologies are being qualified and we look forward to these gaining traction. Now I’m just finishing visits with some of our major customers and discussing our technologies firsthand. One recent visit was with Haggar. Haggar was one of the first brands to embrace REPREVE starting back in 2009. Dress pants launched with REPREVE remain the best-selling dress pant styles in America. Haggar also takes the advantage of SORBTEK and other Unifi technologies. The Haggar team shared with me that they're one of the fewer programs growing in the -- sales volume in this weak retail environment. A significant part of this growth is with styles that use Unifi PVA technologies. This is a great example of a winning partnership and we look forward to more shared success in the future. A third area of focus will be partnerships to expand our global supply chain. The changing retail landscape is dynamic and consumer shopping habits are evolving quickly. As brands are looking towards fast fashion and localized supply chains, we will be identifying smart partnerships that allow both Unifi and our brand partners to win in this environment. As Central America and Asia remain attractive regions for us and our brand partners, we will look forward to expanding our footprint to secure our position as the top tier solutions provider. Now finally and most importantly, being successful will require the right investments in our people and in our organization. Let me start by saying that we have great people here at Unifi, and a great culture. And this goes all the way back to the founding of the Company. As we position to win with leading brands around the world, we will look to add additional support in sales, marketing, and innovation. Throughout my career, I've always placed priority on training and development along with career planning. We want to ensure we have depth and excellence throughout Unifi. We will continue to strive to have the best people and the best teams in the industry. This rounds out the key themes as I see them in the coming months. Diligently investing in growth, technology, partnerships and our people. With that as a backdrop, Chris Smosna, our Interim CFO will provide some additional details surrounding our fiscal 2017 results.
Chris Smosna: Thank you, Kevin, and good morning, everyone. For the fourth quarter we are reporting net income of $9.7 million and basic earnings per share of $0.53, compared to net income of $10.2 million and basic earnings per share of $0.57 in Q4 of fiscal 2016. In comparing the results for Q4 of fiscal 2017 to the prior year period, I would like to point out three specific items. These are shown in the bridge that we prepared on Page 3 of our presentation. First, net income for the fourth quarter of fiscal 2016 included an expense of around $800,000 associated with key employee transition costs. Second, in Q4 of this year, Parkdale America's performance was comparatively better by approximately $600,000. And third, strengthening of the Brazilian real drove foreign currency benefits of approximately $250,000 this quarter. Adjusting for these items, net income for Q4 is approximately $2.2 million less than the prior year period. Slide 4 of the presentation shows a similar analysis for the full fiscal year. For fiscal 2017, we are reporting net income of $32.9 million and basic earnings per share of $1.81 compared to net income of $34.4 million and basic earnings per share of $1.93 in the prior year period. Specific items to note are: we have key employee transition costs incurred in fiscal 2016. We had a loss on the sale of REPREVE Renewables that occurred in Q2 of fiscal 2017, Parkdale America's performance was a drag throughout most of 2017, and our Bottle Processing Facility incurred startup costs. These were partially offset by foreign exchange benefits associated with strengthening of the Brazilian real, as well as certain tax rate favorability that occurred in Q3. Adjusting for these items, net income for the year-to-date period is approximately $1.2 million less than the prior fiscal year. Turning to Slide 5 of the presentation, we can see the drivers of segment performance for the fourth quarter. As a quick reminder, the discussion here focuses on our core segments which exclude ancillary operations referred to slide 12 for the consolidated metrics. Total revenue of $171 million with a substantial improvement from the prior year quarter. Consolidated sales volume as measured by pounds of products sold increased by 13%. This was partially offset by a decrease in average selling price per pound. The overall decrease in average selling price is largely attributable to changes in our product mix. As Tom noted, our international business with sales growth of over 25% was partially offset by the soft domestic results. Overall, gross profit was mostly flat as a lower gross margin rate than the domestic polyester segment was offset by higher margins achieved in the nylon and international segments. Looking at the individual segments, starting with polyester. The decline in average selling price for polyester was largely attributable to product mix, specifically we experienced volume declines of around 5% in the textured yarn business associated with the market conditions mentioned earlier. However, this volume decline was more than offset by continued demand and associated volume growth in our recycled polyester Chip, bottle flake and POY products. Each of these products are relatively early in the value chain and carry a lower average sales price per pound than textured yarn products. This impacted our mix leading to a decrease in the average selling price for the polyester segment. The margin rate decline in the polyester segment was also primarily due to a weaker sales mix. However, our bottle processing facility performed well in the fourth quarter and did not significantly dampen our results as in previous quarters. Looking at the nylon segment. The business appears to be leveling out with a year-over-year volume decline of less than 4% while pricing remained relatively flat. Gross profit and gross margin for nylon benefited from an improved product mix along with cost efficiency gains in manufacturing. Moving to the international segment, I will remind you that the prior year fourth quarter was exceptional. Asia and Brazil continued to perform very well this year driven by the success of our PVA portfolio. The average selling price decreased in the fourth quarter is primarily associated with the expansion of our staple fiber portfolio in Asia. International gross profit remain strong due to substantial fiscal 2017. On Slide 6, the full-year comparative results show similar trends to the three months results. Revenue increased by approximately 1% with strength in the international segment partially offset by relative weakness in the domestic polyester and nylon segments. Total gross profit increased similarly on account of our global PVA portfolio. The overall gross margin rate remain strong at 14.8%. For the full-year, the bottle processing facility adversely impacted the polyester gross margin rate by around 50 basis points, and the total gross margin rate by around 20 basis points. For fiscal 2017, foreign currency fluctuations improved net sales and gross profit in the international segment by $9.6 million and $1.7 million. We are also proud to report that global PVA sales reached 40% of consolidated sales for fiscal 2017. Before moving into the equity affiliates discussion, I would like to provide an update on the raw material tariff situation in Brazil. During the fourth quarter, the South American Trade Association, Mercosur approved the reduction in POY import tariffs from 18% to 2% on a specific volume of imports. We're pleased with this approval, but are not expecting significant upside, as we still foresee some competitive pressure from imports in upcoming inflation in Brazil. Turning to Slide 7, and looking at our equity affiliates. At the end of fiscal 2017, the company had approximately $120 million recorded for investments in unconsolidated affiliates. These investments consist of our 34% ownership in Parkdale America and our 50% interest in two joint ventures that supply raw materials to our domestic nylon operations. Our pre-tax share of Parkdale America's income for the fourth quarter of fiscal 2017 was $1.8 million, almost $1 million more than the same period last year. For fiscal 2017, our pre-tax share of Parkdale America's results was $2.7 million approximately $3.4 million less than the prior fiscal year. The nylon joint ventures experienced pre-tax earnings declines in both the 3-month and 12-month periods associated with higher raw material costs and the soft nylon business conditions. During fiscal 2017, we received a total of $2.3 million in distributions from our equity affiliates. On Slide 8, we will review the Company's balance sheet highlights. Adjusted working capital of $135 million was approximately $3 million less than March 2017, and approximately $8 million above the level at the end of June 2016. As a percentage of annualized sales, adjusted working capital was 19.4% and generally consistent with the prior period shown. This decrease from March is primarily related to lower days sales outstanding for receivables, while the increase from June 2016 is primarily related to higher inventory levels at our foreign subsidiaries on account of their increased sales activity. Moving to net debt and total liquidity, we ended the fourth quarter with around $130 million of debt principal and net debt of roughly $94 million, the low net debt at the beginning of fiscal 2017. As of the end of the fourth quarter, our weighted average interest rate for outstanding indebtedness was approximately 3.2%. Total revolver availability and liquidity were $65 million and $100 million, respectively. I will now turn the call back over to Kevin.
Kevin Hall: Thank you, Chris. Before we open-up for Q&A, I’d like to provide a little color around our expectations for fiscal 2018. We expect continued strength from our international operations and increased contributions from our strategic investments to drive profitable growth. Despite the domestic headwinds, we expect to deliver low single-digit revenue growth and mid single-digit earnings growth. This is exclusive of Parkdale. Assumptions for our outlook include no major fluctuations in the price of oil, an effective tax rate in the mid 20% range, and successful growth investments that follow the themes I outlined earlier. Looking at our capital projects, our current expectations lands us around $35 million. This reflects consideration for requirements in Asia along with ongoing investments in maintenance and technology in the Americas. We will be diligent in vetting out additional opportunities as they arise. We will stay mindful of maintaining a strong balance sheet and generating cash, while keeping our leverage ratio consistent with recent years. And we continue to have $27 million of authority under the existing share repurchase plan. Outside of our core operations, when we think about Parkdale in fiscal 2018, we understand the market challenges, but appreciate our strong team and abilities to operate well and generate cash. On that note, we're happy to report that we received a one-time $6.8 million dividend from Parkdale in July, which will be reflected in Q1 2018. To conclude, I’m truly excited to be here at Unifi and believe that our capabilities and reach provide a tremendous opportunity to do great things. I'm looking forward to meeting many of you over the coming year, and I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] And our first question comes from the line of Marco Rodriguez with Stonegate Capital Market. Your line is now open.
Marco Rodriguez: Good morning, guys. Thank you for taking my questions.
Tom Caudle: Good morning, Marco.
Kevin Hall: Good morning.
Marco Rodriguez: Kevin, welcome and thanks for providing some of the details in your prepared remarks there. I was wondering if maybe you could perhaps talk a little bit more about the four pillars you’re taking a look at as far as investing. Are any particular items more important than the other or are there areas there of those four that you're focusing more on in the interim, if you can just maybe perhaps provide a little more color surrounding that?
Kevin Hall: Yes. Marco, it's great to meet you and it’s terrific to be here. As we look at investing in growth and really getting behind our technologies and looking for partnerships and then investing in people, difficult to prioritize those versus each other. I think all four of them are very important and are going to be great opportunities as we move forward. I think the growth opportunities that I see within the PVA portfolio are terrific and particularly excited about REPREVE and where we can go with that. I’ve been very pleased to find the pipeline of technology that's been worked on within the company. And so, that's very encouraging as well. And I think -- it always starts with the people though and that I -- something I believe in is my background at bringing my different experience as I come into the company, investing in our people, investing in training and development. And I think, you’re going to see I will be bringing in some expertise within areas of the commercial operation to really help us grow that. So, they all kind of work together, difficult to prioritize them, but across those four very excited about the potential.
Marco Rodriguez: Got you. That’s helpful. And do you think that in regard to your -- just your couple months here reviewing the Company and your investment priorities here, do you think that we need to ramp up spending a little bit higher than what is historically been done or do you think it's just a small little area that need -- perhaps little more improvement?
Kevin Hall: So, it's been great to come on board and have the chance to meet the folks and really go through the portfolio PVA opportunities that we have. We’ve got a really strong platform. I think the timing is right on REPREVE and it's an opportunity that we really need to move on. I don't want to miss this opportunity, this window of opportunity. So I think as we look at this year there is a little bit of -- there is more of an increase, a step change increase in the commercial functions of the business and really getting behind the REPREVE opportunity. But as we look to the future, it's all going to be dependent on how much success we generate from those investments this year.
Marco Rodriguez: Got you. And you guys talked a little bit about the CapEx spend for this fiscal year at roughly $35 million. And if I heard you guys correctly in prepared remarks, Asia and then some maintenance CapEx I believes what you guys kind of pointed out as part as major components with that $35 million. Is the Asia expansion just against the supply chain aspects there, or and if you can maybe perhaps provide some color if you’re going to be adding plants or perhaps maybe doing joint ventures or anything of that nature?
Tom Caudle: Marco, this is Tom. For '18 between 30% and 40% of our CapEx is going to be spent on maintenance CapEx globally. The remainder of it’s going to be production capabilities and technology enhancements. And we’re also -- some of this going to be in strategic investments, specifically in Vietnam.
Marco Rodriguez: Got you.
Tom Caudle: So that’s kind of the color of where we’re going in '18 anyway.
Marco Rodriguez: Got you. That’s helpful. And then just real quick here, if I can just talk -- ask a couple of quick questions on the segments and their performance, specifically on the international continued to have a really strong volume growth and year-over-year growth. These -- 30% to 40% growth rates that you’ve experienced on the top line, can you talk a little bit as far as your expectations are for fiscal '18? I know you’ve drawn out some potential headwinds on the international side, but it still seems as if growth is expanding there. So, if you can just maybe talk a little bit about that as far as your expectations in the '18?
Kevin Hall: Sure. I will take that first one. So, I think Marco as I’ve commented, I’ve been very impressed with the growth in the international business and then the teams that we’ve there. So as we look at the segment and the year coming up, we will be a little bit cautious on Brazil. I think we expect some volatility there. So it's been a terrific driver of success. I just think we need to be a little bit cautious on our assumptions into next year. As you’ve pointed out, Asia has been a nice success story and we are continuing to believe that that’s going to continue to deliver growth as we will go into 2018.
Marco Rodriguez: Got you. And do you guys expect to have some gross margin expansion on the international side or should I say kind of steady?
Kevin Hall: Yes, I think we’re looking at more steady as we go into this next year, that’s we’ve got planned right now.
Marco Rodriguez: Got you. Got you. Okay. And then just last quick question on the poly side. Maybe you can talk a little bit more as far as your expectations on volume growth there for the poly side? And then, if you could also hit on the raw material price increases. Has that sort of worked its way through your contracts with your end customers, or are you still working on that?
Kevin Hall: Yes. Tom, let me take the polyester and I will let you do the raw materials. So, yes, on the polyester side, I mean, clearly we still see some domestic market issues, some challenges there. But Tom highlighted the contributions we are starting to see from our recycling operations and the investments there. So, when we put those two together, we do see some positive trends on the revenue side of polyester. It's great to have that recycling center coming online. So, again this doesn't -- this assumes no wild fluctuations in raw pricing -- raw material pricing, so kind of hand that one over to Tom.
Tom Caudle: Yes, as you guys are well aware during the third and fourth quarters, especially in the third quarter we saw pretty substantial increases in raw materials, which took almost all of the fourth quarter to work its way through the chain. It has flattened out now. We are starting to see some decreases, but for the most part -- our view going forward is going to be pretty flat.
Marco Rodriguez: Got you. And have you been able to push through those pricing -- price increases to customers or are you still kind of working through that issue?
Tom Caudle: No, it's pretty much done.
Marco Rodriguez: Got you. Great. Thanks a lot, guys. I appreciate your time.
Kevin Hall: Thank you.
Tom Caudle: Thanks, Marco.
Operator: Thank you. And our next question comes from the line of Chris McGinnis with Sidoti & Company. Your line is now open.
Christopher McGinnis: Good morning. Thanks for taking my questions and congratulations, Kevin.
Kevin Hall: Thank you.
Christopher McGinnis: So, I guess, just quickly to start with maybe payoff and the special dividend. Can you just maybe give a little bit of color around -- is this a one-time? Was it for maybe tax purposes, or was it just that the business is improving? Maybe just talk a little bit about the special dividend?
Kevin Hall: Yes, well first of all nice to meet you, and I look forward to working with you in the future. I think I had a chance to be with the folks at Parkdale. They let us know about the dividend. Not a lot about other background on it, it’s -- we’re really pleased with it obviously. It's a cash distribution came in in July. It flows through our balance sheet. It doesn’t impact our P&L or our ownership position. So it was nice to receive and don’t have much background other than that.
Christopher McGinnis: Okay, thanks. And then, I guess, just thinking about Parkdale and fiscal '18 versus '17, I know -- I noticed you can't model it or anything, but maybe just your thoughts about trends and directionally maybe more so.
Kevin Hall: You know, I think, in our conversations, they’re facing some of the same market challenges that we are. I was really impressed with the team there though and the people that we met. So I continue to think that they’re going to generate cash and I know they’re going to operate well. So as we look forward, there is more work happening with them in blended products, and I think as we start to reach out to our branded partners and we start to have conversations, there will be opportunities to look at partnering on some of those cotton polyester blends together. So I see -- I’m hopeful that the partnership is going to be able to grow and we will be able to create some new opportunities there.
Christopher McGinnis: Okay. And then just to touch on the CapEx one more time, Tom, I think you may have gone through the numbers a little bit, but can you just maybe parse out what is growth CapEx and then what is maintenance CapEx again? I apologize I missed that one.
Tom Caudle: No, what I said, Chris, is about between 30% and 40% of our CapEx spend for in the $35 million is going to be global maintenance CapEx and the rest of its going to be for production capabilities and technology enhancements.
Christopher McGinnis: Okay.
Tom Caudle: And then in that $35 million there is also some investments in -- strategic investments for Vietnam as well.
Christopher McGinnis: And this is outside of the large CapEx plan? We are finished with that now, is that correct or…?
Tom Caudle: That’s pretty much complete.
Christopher McGinnis: Okay. So this is additional kind of broad CapEx…
Tom Caudle: There might be a few -- a little spillover, but not much at all.
Christopher McGinnis: Okay.
Tom Caudle: It's pretty much complete.
Christopher McGinnis: Okay. And then maybe just to touch on the quarter, one thing that was really surprising was just the SG&A spend. Can you maybe just talk about little bit what’s happening there and is there any one-time spend in the quarter itself, or should we look at a higher rate going forward as we start to think about next year, that’s seemingly with the guidance, SG&A maybe up a little bit -- up a bit in '18?
Kevin Hall: Yes, so I will take that one. So Chris, I think as I’ve come in, the PVA platform we’ve and with REPREVE, it's a good opportunity of growth here and we want to invest in that. And I think as we start to look -- work with our brand partners and really look to take that to the next level, we will want to continue to build out our commercial expertise and our commercial and investments behind that. So that’s going to mean expanding our talent. And as I mentioned on the call, I really see an opportunity to increase our talent and add on in sales, marketing and innovation. We are going to do that prudently and we will do it based on getting a return on that investment as we grow. But as I really do think this is a window that we’ve here and we want to get out in front of it and to really expand and invest for the long-term.
Christopher McGinnis: Okay. Totally understand. And then, I guess, just on the bottom line, the 20% that you referenced in terms of tax rate for '18 versus '17, when you talk about the EPS you’re backing out with Parkdale, you’re just doing it off the street kind of core operations?
Chris Smosna: Yes, this is Chris. Yes, you’ve got that exactly right, Chris.
Christopher McGinnis: Okay. So that’s a main driver of EPS in '18 is that growth you talk about is the lower tax rate versus the prior year where everything else to be maybe up a little bit, I guess, core?
Chris Smosna: Yes. I agree with that.
Christopher McGinnis: Okay. I think that’s it for now. Thank you very much for the time. I really appreciate it. And Kevin congrats on the new position.
Kevin Hall: Thank you, Chris.
Tom Caudle: Thanks, Chris.
Operator: I’m showing ...
Tom Caudle: Go ahead.
Operator: I’m showing no further questions at this time. So I’d like to return the call to Mr. Kevin Hall.
Kevin Hall: All right. Well, thank you and I want to thank everyone for joining us today. I’m looking forward to meeting you and to working with you over the coming months.